Operator: Good morning. I will now turn the call over to Elizabeth Hamaue, Aya Gold & Silver's Director of Corporate and Financial Communications. Please go ahead.
Elizabeth Hamaue: Thank you, operator, and welcome to everyone who has joined Aya's Third Quarter 2025 Earnings Conference Call. Here with me today, I have Benoit La Salle, President and CEO; Ugo Landry-Tolszczuk, Chief Financial Officer; Elias Elias, Chief Legal and Sustainability Officer; Raphael Beaudoin, Vice President of Operations; and David Lalonde, Vice President of Exploration. We will be referring to a presentation on this conference call, which is available via the webcast and is also posted on our website. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A, as well as the risk factors included in our AIF. Technical information in this presentation has been reviewed and approved by Raphael Beaudoin, Aya's Vice President of Operations; and David Lalonde, Aya's Vice President of Exploration, both of whom are Aya's qualified persons as defined under National Instrument 43-101 Standards of Disclosure for Mineral Projects. I would also like to remind everyone that our presentation will be followed by a Q&A session. With that, I would now like to turn the call over to Benoit La Salle. Benoit?
Benoit La Salle: Elizabeth, thank you very much. Hello, everybody, and welcome to our Q3 conference call. Q3 is a strong quarter. We're delivering across all key pillars of our strategy. On the production side, we have solid operational KPIs. We have produced for the quarter 1,347,000 ounces. The mill plant ramp-up is near complete, and we have ongoing targeted improvement to the mine plan. So for the financial results, we have $54 million of revenue in Q3 only, and we have $22 million of cash flow from operations. So it is a very strong quarter. We finished the quarter with $129 million in cash that -- the cash that's not restricted and $16 million in restricted cash with EBRD. On the drilling program, on the exploration front, we had a very strong quarter. We'll review this. The drill programs are continuing both at Zgounder and at Boumadine. And just after the end of our quarter, we've announced the Boumadine PEA results, which I will review with you as well. On the ESG front, we continue to progress in the strengthening of our positioning in country. We're also advancing towards an ISO 14001 environmental certification. So 14001 environmental certification is being done at the moment. Focusing on health and safety, we had another strong quarter on site at Zgounder. So the financial position is strong. The balance sheet is strong. And we have the money to develop Zgounder to what it is right now and to continue the drilling. But most important is, we have the money to develop Boumadine. And that is extremely important as Boumadine is becoming a world-class Tier 1 asset. Going to slide on Page #5, you -- just a couple of KPIs for you to see that we are really, really progressing. So as you know, we're look -- let's look at the plant to start, so the ore process and the milling rate. So the ore process here, you recall, the plant has been built for 2,700 tonnes a day. This is where we were at Q1 2025. Then we went up to 3,000 tonnes a day in Q2. By Q3, we were running at 3,300 tonnes a day. We've also indicated that at the end of September, we were at 3,600 tonnes. And currently, in November, we've been hitting 4,000 tonne a day. We don't believe that the 4,000 tonne a day will be sustained throughout the quarter. We're more towards 3,700 tonne, 3,800 tonne per day. But understanding that from a design and a construction of 2,700 tonne a day, this is a major success. And I recall again, we did this for $140 million, less the money we've received from the EPC contractor for the damage that -- the fact that they were late delivering to us the plant. So technically, we did this construction for about $133 million. So it's quite spectacular in the mining space. On mill recoveries, well, the mill recoveries, you know, is always something very sensitive. In silver, mill recoveries often are more in the mid-70s, while we were in Q3 at 92.5%. And on mill availability or plant availability, let's call it this way, we were at 96%. There was a little bit of preventive maintenance in the quarter because on the previous quarter, in Q2, we were at 98% plant availability. So you see the ramp-up momentum is continuing. We are now at capacity. The ramp-up has been very smooth. And the execution is on track with a very strong plant that is processing way above the plant capacity. For the mine, the mine is also on Slide #6. The mine is running smoothly. The underground mine at a steady state of 1,300 tonnes per day, running at 159 gram per tonne. So you recall, the KPI that was giving us a little bit of headache [indiscernible] was the grade and the dilution of the grade we are getting better every quarter with the underground mine. So that's where it started at the beginning of the year, where we were having issues. This is now really coming through, and the grade of the underground mine is better, and it's getting better every quarter. On the open pit, we have been focusing on the Northeast stripping. We've done a lot of stripping. And this is why on the slide, when you look at the total tonnage done in the quarter, it looks like the total tonnage done is lower. It's true because that's ore, but actually, we are much higher in total ore transported because we did focus on opening up the large pit. So we are currently running on a daily basis at moving 45,000 tonnes to 50,000 tonnes of not only ore, but also of [indiscernible]. And this is because we're preparing the large pit. So we have been doing extremely well at the underground mining. The throughput is increasing. The grade is getting much better. And now, we're working on the open pit, where we do still need to improve in the open pit mining selectivity and operational control. We know, and this is of the 5 KPIs that was the last one, and now it's half of it that we still need to attend to it, but we are attending to the grade in the open pit. But the throughput of the underground and the throughput of the open pit is there. You know our objective is to be at 4,000 tonnes per day at 1,500 tonnes coming from the underground, we're there today, and 2,500 tonnes coming from the open pit. We're not there right now, but we'll be there for year-end. So of the 5 KPIs that we've been managing for the ramp-up, all the plant KPIs are done and are doing better than expected. The throughput of the mine is there, and it's only -- still we are working on the grade coming from the open pit. So it is a ramp-up process. And this is why going to Page #7, you look at -- on the left-hand side, if you look at the cost, the cost for the quarter is a little bit higher than what we wanted it to be. The cost -- though it's lower than Q2, it's at $20. Our goal was to be more towards $18.50. And the reason for the cost -- it's not the cost per tonne. Our cost per tonne is excellent. It's the cost per ounce, and the reason is the grade coming from the open pit. Also, in 2025, the price of cyanide really went up considerably. And right now, we see it coming down. On a per tonne basis, it's coming down almost like $3 per tonne. Now we are seeing it. We are completing our purchasing for 2026, and the cost of cyanide is coming down lower than it was for 2025. But again, as we've been saying quarter-over-quarter, look at the margin on that chart. Look at the margin in Q1. We were working with $13 margin, $31 less $18. In Q2, we were working with $12, $13 margin. In Q3, we're working with almost $20 or $19 margin. And in Q4, at the moment, as we speak, silver is at $50. We've been selling in Q4 silver between $48 and $51. So you're looking at $28 margin for Q4. So yes, and the costs have to come down, and this is the objective that we have for Q4 and for 2026, but the margin is really strong and getting stronger. So when you look on the right-hand side of that slide on Page 7, you see the growth in revenue, which is, of course, due to the increase in production, but also the increase in silver price. So the higher volume is about plus 20% and silver price is plus 18%. So for Q3, you have record revenue of $54 million, and you have record net income of $12.4 million, which when we convert that on a per share basis, it is $0.09 per share. I would like to draw your attention, when you look at the cost, we have the stock option costs that are put into each quarter, which amounts to $0.024 per share. This is a program that was put into place in 2020 and that we've repeated in 2025 -- for the year 2025. It's the retention program of the senior management team. Those options vest over time, and the cost of the option, if you look at the G&A section of the financial statement, it's $0.024. So, on an adjusted earnings per share, if you remove those which are continuing over time for quite a long period, if you look at the option package that I have or Mustapha El Ouafi has, we haven't touched those options in the past 5 years, and we don't intend to touch them in the near future, but we do take the expense on a quarterly basis. So we're looking at $0.09 per share after stock option plan or stock option cost, but before, it's more $0.114 million on a per share basis. The actual cash flow is also very, very strong. As we've indicated, we've generated cash flow from operations. You have that on Page 8, sorry, I didn't say that earlier. On Page 8, you have cash flow from operation of $22 million. And this, again, was working with a much smaller margin in Q3 than we have in Q4. You have the CapEx and the exploration program of '22. The EPC compensation is a tribute to how well we structured the construction contract, and we were able to get a compensation of $8 million less the legal fees associated with the court case if you -- or the negotiation of that in Spain. So we had legal fees of close to $1 million. So we did receive $8 million, but we've accounted for $7 million, and that $7 million goes against the CapEx in our -- on our balance sheet. So it doesn't go against the cost. It goes against the CapEx. We have a strong cash position of USD 129 million, obviously, million. And we do have an undrawn credit facility with EBRD of $10 million. Talking about exploration, moving to Slide #9. Again, you see Morocco. Morocco, again, is more and more now seen as a top-tier jurisdiction in the world. It's because of the speed of permitting, because of the quality of the geology. As you know, there's 3 elements that count is geology, is jurisdiction and the people who run this. In this case, jurisdiction is fantastic, geology is fantastic. So at Zgounder, our budget for the year was 20,000 to 25,000 meters of drilling. We are at quarter-end at 19,659 meters drilled. The cost of drilling all-in in Morocco is USD 150 a meter. So it's really a fraction of the price of drilling anywhere else around the world. So we've been drilling at Zgounder. We've been drilling at Zgounder at the mine and have been putting out fantastic results. We're drilling on what we call Zgounder [indiscernible], so very close to the mine and Zgounder regional as well where we do have many, many targets. So you've seen over the quarter some very good results of 1,164 gram per tonne over 3 meters, and we're continuing to have very, very good grade coming out of the drill program. The regional as well -- and at one point, we'll have much more -- a longer presentation on the regional play at Zgounder, but we're adding permits to the region. We're doing a lot of work on the region, and we're finding a lot of very good structures that we intend to -- that we are drilling and that we intend to drill in 2026 as well. So it's continuing to be a fantastic project with a very, very strong geological potential. The next one, the Boumadine is our bigger asset because it's got a bigger resource because we have a bigger footprint. We have a goal to drill 140,000 meters this year. By quarter-end, we were at 109,000 meters drilled, and it's continuing to -- all drills are turning. We have shown you the PEA, which requires additional drilling, but the drilling this quarter confirmed continuity of the Boumadine main zone, the Tizi zone, and we've been extending the zone continuously in the Imariren zone, as well as now a striking of 1.2 kilometers. In the PEA, we only took into account the main permit, which is 32 square kilometers out of a district that we control of about 800 square kilometers. So we took into account just these 3 zones, Boumadine, Tizi and Imariren, into the PEA. We had other very important hits on these 3 zones, but also on new satellite zones that we have discovered in the past few years and one which is called [indiscernible] which is very, very interesting because it's a gold zone. It has also a little bit of copper. It's been drilled in very wide spacing on 8 kilometers. We are seeing the mineralization on 8 kilometers, but we have now extended the anomaly on more than 20 kilometers. So it's -- and that's not in the PEA. This is a new zone, which is more gold than polymetallic, but also very interesting. And in the quarter, we've added 2 new mining licenses, which is quite spectacular. We have many, many mining licenses in this district because you understand that we control a district. It's not just a permit or 2, it's a mining district where we are the only player in the district. We've increased our land package that's permitted to 339 square kilometers, but we also have a 600 square kilometer exploration license. So it's just showing us the footprint that we have at Boumadine is really exceptional. So just quick on the outlook. We're confirming the outlook that you have on Page 11. That is not changing. We know that the recovery will be -- not the recovery, sorry, it will be a bit higher and the grade will be a bit lower. But globally, the production will be aligned with the guidance, most likely the lower part of the guidance, but our goal is to be within the guidance. Continuing with the presentation, going to page -- the following page on the Boumadine PEA. Just a quick summary. It's the most, today, important project, I believe, in the mining world because of the fact that it is permitted, that the financing is spoken for with our financial partner, EBRD, with the offtaker who are going to be buying the concentrate, and the fact that we have as well liquidity, and we're bankable in country with banks in Morocco. So we -- the funding is spoken for. It's not done because obviously, we understand that the bankable feasibility is not completed. We're missing the drilling. So -- and we are launching as of now a 360,000-meter drill campaign that is going to be executed over the next 2 years. But the project at our base case at $2,800 gold and $30 silver has an NPV on a post-tax of $1.5 million. And as I said during the presentation, we're looking at both the post and the pretax because we have not yet done the tax structuring of this project, something that we've discussed today because as I'm talking to you -- I am in Casablanca. We have had meetings on Boumadine and on the tax structuring and how we want to position this project if we have time because the project needs 2 years of drilling and the feasibility study. So there is time, but it's super important that we have the proper tax structure. The NPV to CapEx, the CapEx intensity is absolutely unique. It's between 3:1 to 5:1. And this is at the base case, the internal rate of returns between 47% and 69% and the payback between 2 years and 1.3 years. So it's a very robust project. Why? It's because of the low initial CapEx at $446 million, CapEx that we control extremely well because $50 million of it is pre-strip of the open pit. It's the water system, it's the electricity, all the things that we've just done at Zgounder, which we're going to repeat at Boumadine. And the beauty of it is it's low AISC. The AISC for the first 5 years is $928. The ASIC over the mine life is $1,021. But all of that is -- does not take into account the 140,000 meters of drilling of 2025 and all the additional drilling that we're going to be doing over the next 2 years. So why we're focusing on the first 5 years because that's where we have kind of clear visibility. After that, it's -- yes, it's what we have, but it's going to be a lot bigger than this. Like there's no doubt in our mind that this is going to be a lot bigger. So when you look at it as a silver company because we are a silver company -- this project is a silver equivalent, is adding 37.5 million ounces per year of silver production on an equivalent basis. So moving to the next slide, why this is such a compelling story because it's a district scale land package, like we owned the Red Lake District. We own the Abitibi belt. We own all of the Carlin Trend, like it's all part of the same company. It's got exceptional economics because it's low capital because in Morocco, the cost of construction is about 1/3 the cost of construction of any other asset around the world, and it's very, very well built. So it's low capital intensity and very rapid payback. It's a low-risk project. It's based on a simple model. It's 3 concentrate, lead, zinc and pyrite concentrate. We have MOUs with 3 of them for all the concentrates. So we will then be selecting how we're going to go forward with this. Financing, I said it, it's spoken for. We just have not finalized it. We have many, many options. The proven track record in the region because we just built Zgounder. So whoever is doing the excavation at Zgounder and the open pit mining will be bidding to do the open pit mining at Boumadine. It's 5x the size. Whoever is doing the underground development will be bidding for the underground development. So we're looking at a situation where the same suppliers are going to be coming in to work with us. We know them, they know us. We work very well together. And don't forget, all of that is possible because we've built it, because the money is available in country and because we do have a mining license in hand. So we're not waiting for the government to approve an environmental license or a mining license or, I mean, we have our mining license in hand, and we can start. We cannot start now because we need to complete the drilling on a 50-by-50-meter spacing so that we can move our resource into the measured and inferred category in order to put them into the feasibility study. So we've covered the main point of the PEA, which we have on the next slide, the low CapEx, strong economics, revenue driven with gold, silver, lead and zinc. It's open pit and underground, but the first 2 years will be open pit. And based on the extension because you will see over the coming months, there's going to be more drill results, showing additional structures that can be attacked either through open pit or underground mining. We keep drilling, and we have been putting out results because, don't forget, all the drilling of 2025 is not in the study. So to conclude, what are the catalysts for 2025? We're, of course, almost done. This is mid-November, but the drill programs, which you have on Slide 15, the drill programs are continuing. We will finish the year with almost 200,000 -- almost 200,000 meters of drilling. We're heading into 2026 with most likely 250,000 meters, maybe 300,000, depending on the drill contractors and how fast and we can do the drilling. But we are moving into between 250,000 and 300,000 meters. We've delivered in 2025 as we wanted the PEA on Boumadine, which is a starting PEA because it only takes the resource until the end of 2024. In our catalysts for 2025, we wanted to reach 3,000 tonne per day processing. We're actually now touching 4,000 tonne per day processing. So we are really, really showing that the plant is well built, very robust and exceeding nameplate capacity. People were looking for an update on the Boumadine metallurgy. So that is checked. There's no metallurgy issue because we're going to be sending the concentrate to a smelter -- or to smelters, not one, but many. So the recoveries are in the high-90s. The payability is lower because we do share on the payability, but the recoveries are in the high-90s. And we also have shown you that we can also use a roaster if we want to reduce our cost of transport because if you look at the [ ASIC ] at $1,000, there's $300 of transport and process and all that. We want to remove that and we do a roaster or a smelter in country, and actually, we do. We won't do that ourselves, but with partners. We know that people are looking at this project, and there is a source of sulfuric acid in country to the country that's probably the largest buyer in the world of sulfur for the fertilizer. Well, that source of sulfur is something that's drawing a lot of attention right now because it's in country, it's available to produce sulfuric acid. It can produce power, and it would also liberate the gold and silver. So on the metallurgy Boumadine, it's done. It's -- we should never talk about that anymore. It is done. It's either going to go through a smelter in Asia or in Europe, or it will go through a smelter in Morocco or a roaster in Morocco. So it's -- I mean, it's -- that discussion is done. The last element that we're now working on, which I said last time after we're done the PEA and where we will finish the updated Zgounder model, we are almost there. Again, something we were discussing today, we're almost there, and we will be updating the market about the new Zgounder model, the new Zgounder mine plan and going forward. And as again, as I said, Zgounder has a lot of upside potential. The geology is there. And now, it's a question of working and getting more drilling done and new structures for Zgounder to have a very long mine life. It has already a long mine life, but even a longer mine life. So, that completes my presentation for Q3 2025. Operator, I would like to turn it over to you for the question period. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Justin Chan with SCP Resource Finance.
Justin Chan: Congrats, Benoit, David and the rest of the team if you're on, Alex. My first question is on the open pit, I'm just curious how the next few quarters look. When I was at site in my notes, I had about 2,000 tonnes a day from the open pit and 1,000 from the underground. The underground is doing really well. You're already above that rate. I'm just curious on the open pit, when in the next few months or quarters, do you think you'll be done the stripping you want? And how many tonnes do you think is your new target for tonnes per day? Or is it still that 2,000 number?
Raphael Beaudoin: Justin, thank you. Yes, we're very happy with the underground. Let me start with that. We've been working all very hard. We've got new stops going. We're comfortably above 1,000 tonnes per day, and grade has been sustained around 150 lately, 160 even. About the open pit, as you all know, we increased the total tonnage move per day in the open pit by essentially tenfold. We were at 4,000 tonnes per day by the beginning of the year. In October, we were close to -- in September, we're close to 40,000 tonnes per day total material moved. And now we sit at around 45,000. We will continue marginally increasing it. We had a high stripping in the third quarter. That's why the ore per day was a bit lower, but we did a lot of ways to put us comfortable, especially in the Northeast section of the open pit to have flexibility in the open pit. So everybody worked really hard, especially in Q3, to ramp up to finalize the stripping of the Northeast sector, and we now have 45,000 tonnes per day of total material move. And to answer your question, that brings us to 2,000 tonnes per day. Even on higher strip month on lower strip months, we'll reach even 3,000 tonnes per day and perhaps even a little bit more depending on the month. But we're trying to plan conservatively to make sure we always have the flexibility in the pit. And I would say at this point, the ramp-up is essentially done. The short-term stripping is also done. We have a longer-term stripping. Next year, we'll do another pushback, but that's towards the end of next year. For the year to come, we're well positioned for the open pit to sustain above 2,000 tonnes per day in the open pit.
Justin Chan: Got you. And with the plant doing 3,700 tonnes a day now, I guess, in the long term, how do you envisage filling that mill? What's the split between open pit and underground? And could you push even beyond that 3,700 tonnes rate? And what would you need to do on the mining front?
Raphael Beaudoin: So on the underground, we can probably push a bit at 1,500. We're not looking to go really above that. We want to take our time and do it right to make sure we control the cost. For the open pit, we'll take the rest. We have options, either we go -- either we mine faster in the open pit because we have room. We can even include -- we still have stockpile, right? Don't forget, we still have 150,000 tonnes of stockpile and it's decreasing slower now, and we want to stabilize it. And finally, we still have marginal ore. We do stockpile marginal ore. We compile it as waste and it's included in our cost, but it still has silver grade and especially at the silver price, the mill will always be full. This is not the issue here.
Justin Chan: Okay. Got you. And on grade from the open pit, when we were on site, we talked a lot about managing dilution. Is the current grade situation more about managing dilution going forward to improve it? Or is it more of a sequencing issue where you'll get higher grades in the sequence naturally? Just curious what the -- how the path to improvement is.
Raphael Beaudoin: So when we -- as we did stripping in the Northeast, there was still ore in it, like we did produce about 1,000 tonnes per day of ore. So those were in more sparse and disseminated region in the open pit. So it's a bit harder to control. And as we mine the open pit and we get to more bulky ore zone, dilution will be easier to control. So we're also focused on ore recovery. And as I explained a bit before, we increased the tonnage in the open pit by tenfold. So there's also a learning curve for a team. We need to stabilize the work routine, the work procedures. And the first step was to do stripping, make a nice surface area to be able to work comfortably. And now, we can focus on steady-state tonnage, and we can focus the team on grade control rather than stripping and ramping up and making room to work.
Justin Chan: Got you. Just one last follow-up, and I'll free up the line. So modeling that grade inflection from the open pit, is that something you're hoping to do in Q4? Or is it first half of next year? Just trying to get a sense of how to model it timing-wise.
Raphael Beaudoin: [ It's Raph ]. Justin, as you're asking when do you see grade change, grade inflection for the open pit, is it in Q4, or is it at the beginning of next year? Well, I would say at the beginning of next year, Justin. We're finalizing to tidy up the pit. There was a lot of ways to move. Now, we're slowly getting into ore and we produce ore, but the highest grade is as we go deeper in the pit. So we should see that coming more in Q1.
Operator: Our next question comes from the line of Bryce Adams with Desjardins.
Bryce Adams: Just a follow-on to those questions just asked now about the revised open pit underground split for filling the mill at 3,800 tonnes per day. I was wondering what's the base case processing rate that will be included in the new Zegunda mine plan? Is that going to be 3,000 tonnes per day and those 3,700, 3,800 tonnes per day are upside scenarios? Or is it 3,800 tonnes per day, is that the new base case that will be included in the Zgounder mine plan?
Benoit La Salle: Bryce, this is Benoit. So look, the new Zgounder mine plan is going to be done in the next 2 to 3 weeks. We are still reviewing it. We're looking at all the scenario. The plant is capable to run at 3,800. We're showing it, but we haven't yet finished the new case or the new mine plan, where we're working on it at the moment. Also something very interesting is, we just have recruited somebody on the team that's working with [ Raph] and Mustapha on mining underground and open pit mining. So we are bringing in somebody with many, many years of experience to just complete the team. And so, we're working with that person and our own team to have this new mine plan available, as we always said in Q4. So look, obviously, we're not going to bring the throughput down to 2,700, but we're going to look at different scenarios, different grade, as you know, different cutoffs. So we haven't yet finalized the plan. So it's hard to comment on throughput and grade and all of that. But that will be available in a couple of weeks.
Bryce Adams: So yes, if some of those -- like that's a key input to the study. if that's still up in the air and you haven't yet settled on sizing the mine and the mill and the long-term throughput capacity, what's the chance that the Zgounder mine plan update goes into next year? Could it be a January update versus December?
Benoit La Salle: Well, 99%, it's a December update. And it's not that we haven't decided on throughput on all of that as we're just going through the final reviews, the final analysis, what we have. David and his team have completed the resource. Patrick and his team have completed the new mine plan. [ Raph ] is looking at it with his team. So we're putting all of that together. So we're almost there. We've committed that it would be coming out in December, and we will try to try. We are 99% confident that we're going to meet that. But if somebody comes through and says, you know what, oh, by the way, we've just found this or there's a new sector that we should look at, I mean, it could get delayed, but I would tell you, it's very, very unlikely.
Operator: Our next question comes from the line of Ingrid Rico with Stifel.
Ingrid Rico: I have a couple of follow-up questions on Zgounder and the throughput, which clearly has outperformed and now aiming to that 3,700 tonnes per day. I guess, my question is, the sustainability, you debottlenecked the buck end of the plant, but the sustainability and perhaps what are the risks that you can't really maintain that throughput rate?
Unknown Executive: So yes, thank you for the question. We've been -- it goes without saying we've been milling also a bit of oxidized ore from the top of the pit. And as we get deeper in the pit, the ore hardness also change, but we have experience with that mining from underground. So it will be a question of blending, and we also have time to continue working and adjusting the plant. That plant has been running for less than a year. We're still learning. We've done some changes over the year to get there, and we also have other ideas to get there. If we're ever to get in trouble with ore hardness as we go deeper and deeper in the open pit, I mean, we have solutions for that, relatively cheap solutions. If we must, we can add a tertiary crusher. This is something that can be done relatively fast. It's not something I'm nervous about. We have -- we can address it. We can address it. The ore has been a bit soft. So the bottleneck was more in the tailing on the refinery, and we've been working on that. So that's been the bottleneck. And we have good visibility for the near future. And as we go down the mine, if we must add another crusher, we'll just do that.
Ingrid Rico: Okay. Understood. And then, just on the grade and your answer to Justin's question and seeing the open pit grade having that inflection point more into 2026, so perhaps just to understand and going back to the site visit in June that you were already kind of making some implementation on the dilution minimization, so how can we -- should we see an improvement in Q4? Or what's happening on that implementing that?
Unknown Executive: So, in the open pit at Zgounder, we focus on several aspects. Productivity: so we had to increase productivity in the mill that's done. We also started to modelize ore movement, okay, to make sure to recover every single ounce possible in that open pit. And as we go faster and our mining rate increases, we need to make sure to have good ore recovery. We also need to make sure we don't make mistakes, meaning we want to minimize external dilution as much as possible. So there's a bit of a change in philosophy whereas what we've been doing at very small tonnage versus what must be done at a higher tonnage. Now that we mine at over 2,000 tonnes per day, which is 50,000 tonne material move, our main focus is to reduce external dilution, mine a bit larger block, make sure to mobilize it properly and then recover the whole thing. So that will result into less external dilution because we'll control the block, we'll mine bigger blocks and we'll make less mistakes. It will also include partially into an increase in internal dilution as we want to control block movement, we want to mine bigger block and make sure they have good ore recovery and reduce costs and sustain productivity. So, a bit more internal dilution and what we predict is we'll have much less external dilution, so we'll see a grade increase. The reason why I'm seeing -- we will see that more in Q1 is there is also a learning curve. We've been implementing [indiscernible] as a software and implementing good procedure in the pit to control ore movement with blasting, also working with our contractor for blasting method. There's all sort of learning curve into that. So we're about 1 month into -- 1.5 months into implementing this, and we need to let the team to work before we start judging of the results of that. So I'm expecting results the faster we can, even maybe in Q4. But that's the reason why I say I see Q1 is to make sure that we have the time the team to really implement this fundamental change with an increase in productivity of tenfold.
Ingrid Rico: Excellent. If I can just squeeze one more question and more on the sort of cash flow and looking at, you drew down $15 million on the credit facility, yet your cash balance is pretty strong and your operating cash flow was strong this quarter. So just a bit of understanding why you drew down the $15 million.
Benoit La Salle: Yes, Ingrid, this is Benoit. If you recall, when we put the $25 million facility with EBRD at the time, which was at the beginning of the year 2025, many people were questioning our balance sheet because our cash position was below $50 million and as an operating company. So when we negotiated with EBRD, the $25 million line of credit, there was an undertaking that we would draw at least one time on the facility because they've put it into place and they went to credit committee, and we went to Board. And so it was just part of our undertaking. Of course, the money as we have it, is in our bank account. the difference between what we earn and what we pay is extremely small. We have very good return on our -- and we're taking no risk on our liquidity. And as you know, EBRD is on SOFR plus and SOFR has been coming down. So the little amount of the point in between what we pay and what we receive is super small, and that was part of the agreement. Clearly, we do not need to have that money. It's -- there's still $10 million available, but that was part of the undertaking when we put the money, the debt in the company. You know that we did after that in June, a financing of USD 100 million, obviously, made the $25 million really, really not necessary, but we did have an agreement with EBRD. And EBRD is our financial partner. They gave us $100 million. They gave us $25 million when we wanted to strengthen our balance sheet. They've committed themselves to be there for Boumadine for -- to be the main lender. They are our financial partners, and we just respected our agreement. But I understand your question, it's kind of bizarre why did we draw on it, but it was part of the agreement.
Operator: [Operator Instructions] Our next question comes from the line of Don DeMarco with National Bank.
Don DeMarco: Good to see the just continued improvement in operational metrics. So [ Raph ], I think I heard you say that grades are running at 150 to 160-ish per underground, improving quarter-over-quarter. Is that the range that you're looking for, for Q4 to reach the guidance? Or would the open pit come in at the same or higher grade?
Raphael Beaudoin: Well, I'll try not to speculate too much on future grades. Right now, we're focusing on the metric I've mentioned before. Underground, grade has been stable, even improving even with higher tonnage. And underground, when you get a good stope, you get good stope, and we have many good stopes ahead. So in underground, there'll be more volatility as we had. And now, we're in very good stope, and that's the result of the work we've been doing over the last year. So in underground, what 150, 160, and that's quite stable. Whereas the open pit, I've commented already in the open pit, we want to stabilize throughput. We want to control dilution, and we'll keep on learning to this. So I do expect grade to increase, especially early next year.
Don DeMarco: Okay. Great. And with this upcoming Zgounder mine plan, Bryce had asked about throughput. Just continuing with grade, I'm just curious about your approach for forecasting grades over the life of mine in light of the volatility that you've had and some variability stope by stope and dilution and so on. Are you feeling pretty comfortable with your ability to estimate the reserves and have that reflected in the mine plan?
Raphael Beaudoin: So as we review our reserves and our approach to the mine plan done, it goes without saying we learned quite a bit in the last few years at Zgounder. So we'll have a more aggressive approach, just like we've been having over the last year on tonnage, mining bigger blocks and controlling dilution with bigger blocks and focusing on unit cost and focusing on tonnage and production.
Don DeMarco: Okay. Great. And then, just as a final cost question rather, Year-to-date, the costs are running above the guidance range. Are you looking for a significant improvement in Q4? I heard some comments about the consumable costs dropping and so on. Just curious about what your expectations are looking ahead to this quarter.
Benoit La Salle: Look, we -- this is Benoit, Don. Definitely, we're managing the cost per ton extremely well. We just had a Board meeting. We reviewed every line item on a per ton basis. And the one that was the outlier was the cyanide, a little bit on the consumption because of the oxide material and -- but definitely on the variance on price. So there was a quantity variance, but there was mainly a price variance with cyanide. I would tell you the rest is pretty straight on budget where we want it to be. So it is coming down, though the contracts that we were referring to were mainly for 2026 because as you know, you buy these boats of cyanide ahead of time. So look, we'd love to see Q4 being below 20. There are many things that come into play, the strip ratio, a couple of expenses that we know we won't have in Q4. But the target is absolutely to bring cost down. Yes, in Q4, it is a target, but -- and it is a target for next year as well. We would like it to be lower. There's no doubt about that. No doubt. So we don't expect it to be higher in Q4. That's for sure. And our goal would be to be below [ 20 ]. But again, it's too early to tell. But in cyanide is going to kick in more in 2026 than 2025.
Operator: We have a follow-up question from the line of Justin Chan with SCP Resource Finance.
Justin Chan: I just wanted to follow up on the underground. I mean, it improved so much. I think no one is asking about it anymore. But I guess what are the steps for getting tonnes and grade to both improve so much? I guess, going forward, is it -- was it just a matter of getting more faces open and it's majority cut and fill? Or is it -- is there still some long hold in there? Yes, [ Raph ] , can you give us a bit of color on how you improved so much this quarter? And then, what, if any, changes you expect going forward?
Raphael Beaudoin: Well, Justin, the whole team has been working on this for a while. And we kept on saying tonnage is going to increase, grade is going to increase. As you're all aware, underground is all about planning, multiplying phases, multiplying levels. So we're still in cut and fill. The team is getting better. We have some continuity within levels. We've been opening new levels, especially at deeper levels. So this is -- I mean, this is the result of the last year's work. And now, we also -- if you remember, initially, we're targeting more 2,000 tonnes per day underground. We've reduced that a little bit to 1,000, 1,500 tonnes per day, depending on the sequence that also allows more time for better planning, better grade control. We're also working a bit more in bulk, and we've really improved our geological control, channel sampling, remodeling the fronts, remodeling the stopes and closing the loop of planning. So that's all work that we owe to the team on site, and they've been very good at it. So now what's next for underground is to continue our mine plan and to get to the lower level to a good rate to make sure we can close the upper levels in a timely manner to leave room for the open pit.
Justin Chan: Okay. Got you. So maybe to summarize that a bit, so you got your practices right and that's brought dilution down improved grade and maybe the faces -- getting more faces in open areas allowed you to get enough mining areas to hit the tonnes as well.
Raphael Beaudoin: Yes, that's correct. And we've always said that like -- at Zgounder, some stopes are larger, other are smaller. The larger stopes are definitely more continuous and the smaller one have shown more challenges in the past. And now, we are in a good zone. So we continue to learn from these, and we also mine larger blocks, like I said, and lower mistakes, and we want to repeat that experience in the open pit.
Don DeMarco: Okay. Got you. Just one last one, if I may. Just on income tax, I noticed there's now tax going through the income statement line. What's the best way to model? Is it just -- is it maintained similar percentages of earnings? And then, in terms of, I guess, paying cash tax, is there any timing to be aware of?
Raphael Beaudoin: Yes. Justin, yes, income tax is 35%. You can take that. Obviously, it's not always a perfect divider just because we pay based on our local P&L and not on a consolidated basis. But I think on an average run rate, I think it's a pretty good estimate. And we pay -- we have quarterly installments based on previous year's taxes. And so, tax are variable year-to-year, a quarterly payment is good.
Operator: Ladies and gentlemen, that concludes our Q&A period. I would now like to turn the call back over to Benoit for closing remarks.
Benoit La Salle: Thank you, everyone, for today's call. Look, we had a very good quarter. The questions were excellent, and you are questioning exactly what we are questioning and attending to. But today, at Zgounder, we have 4 top priorities. I mean, we know and we've always said it, we want to reach the 500,000 ounces of production per month. That's our goal. That's our target. That's what we're aiming for as quickly as possible. And the team is all aligned with this. The grade is something that we've been managing. And as Justin pointed out, we have managed it in the underground. We are very pleased the way the team is working in the underground. The open pit, we knew there was a learning process. We expected that. It's maybe taking a little bit longer than what we would have liked to, but it's getting better, and we know it's going to get better in Q4. And for next year, it's something that we hope will be stable. obviously because we want to do 500,000 ounces per month, and that requires a stable grade, obviously. Cost is an element that once the ramp-up is done, once we're in steady state, we were reviewing the staff [ that Raph ] was confirming that a lot of the consultants completed their jobs this quarter. We had many expats who were there helping with programming, helping with the plant, helping with different aspects of the business and which is normal. The ramp-up team, most of them, I think, except for one, they're all gone, and we had many of them for a while. So that has a direct effect on our costs, and we are working on controlling our costs, obviously. Now, you also know that the price of silver is $51. And clearly, when we mine and we see a marginal ore, we expense that, but we take it out. We don't leave it underground. So we -- or in the pit. We take it out. We have a pretty big pile of marginal, and it's expense. It's gone through the expense, but we have it -- we have a stockpile of marginal ore. And the last item for Zgounder is the optimal plan. And Ingrid asked the question, and we are not limited in our thinking. We have money. We are cash flow positive. You saw that we generated a very strong $22 million last quarter. We believe that Q4 will be even stronger. So we're not limited to our thinking. We can think outside the box. But the beauty of Zgounder, and you saw the picture, some of you visited the plant, it's like open space construction. So we don't need to move the roof or to push some of the plant, it's open space. So we can add a crusher or we can add a ball mill if we want to, if the team decides that, that's the way to go. The cost of increasing throughput is not very, very high. It can be done in our open space construction. And yes, we are looking at the optimal plan, given the new silver price, given the new grade, given the new cost. So, that is taken into account. And obviously, it was part of Bryce's question and Ingrid's question on where do we go next, and we understand. Boumadine, nobody was asking question about geology. David is right beside me. He was hoping for some very good question on geology. But Boumadine is a star asset with the main zone and all these regional zones. So that will be something that we will keep exploring and keep drilling. As we mentioned, we're looking for next year at probably over 200,000 meters of drilling, 180,000 on infill drilling and between 20,000 and 40,000 on exploration drilling on the regional play. So there's a lot of things coming from Boumadine over the next quarter and over the next year. And look, we are extremely pleased with where we are. And furthermore, the jurisdiction in Morocco is getting better for -- as an investment jurisdiction as it's -- and we're seeing it now. There will be a major event in Marrakesh in 2 weeks on mining in Morocco, and we expect to see a lot of people there. So look, we have a first-mover advantage. We do have a very large footprint. We have 2 well-understood assets. We need to work on them, and we expect to have another strong quarter in Q4. Thank you for your time. Thank you for being there, and we will see you some in Europe over the next few days or a few weeks as there are many conferences. Otherwise, we'll see you in Toronto at the Scotia Conference or others, we will see you in Toronto as we are in town to meet some of our shareholders. Thank you very much, and have a good day.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.